Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Uranium Resources Third Quarter Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) At this time, I would like to turn the conference over to Wendy Yang, Investor Relations for Uranium Resources. Please go ahead.
Wendy Yang: Thank you, Joe. Good morning everyone. Welcome everyone to Uranium Resources third quarter 2014 financial results conference call. I’m Wendy Yang, Investor Relations for Uranium Resources. And you will find our Company listed as URRE on the NASDAQ. This call is being webcast on our website at uraniumresources.com where we have posted slides to accompany our remarks. Telephonic replay of the call will be available from our website for three weeks following today’s call. We will be discussing some forward-looking information today and we caution our audience that such statements involve risks and uncertainties that could cause actual results to differ materially from projections. Please review our Cautionary Statement on Slides 2 and 3 and review the risk factors including some that are specific to our industry described in the latest Annual and Quarterly Financial Reports filed with the U.S. SEC. We have a brief presentation before the question-and-answer portion of today’s call. Our presenters are Chris Jones, President, Chief Executive Officer and the Director; and Jeff Vigil, Chief Financial Officer and Vice President of Finance. We also have on the call Dain McCoig, Vice President of South Texas Operations. Chris, please go head.
Chris Jones: Thanks, Wendy. Welcome and thank you all for joining us today. Let’s turn to Slide 4, we continue to optimize our business and our project pipeline in 2014 previously we announced the strategic non-cash land exchange agreement that leverages our processing opportunities in South Texas. We have enhanced our plants to production with the planned addition of midterm ISR projects in South Texas all located near our two processing plants that are on standby for restart. This win-win transaction is expected to close today and I wish to thank our team and Reogran resources team rather hard working making this happen. Further and on the heels of a successful close we expect to be drilling on two of these properties in the first quarter of 2015. More on the slide, during the third quarter we achieved our goal of reducing our spend to under $1 million per month and we expect to maintain that going forward. Our net cash used and operating activities in the third quarter decreased by 13% from year prior. Our mineral property expenses for the third quarter of 2014 reduced 7% from the prior quarter. Since our new management took the reins in 2013 we’ve been judicious in clamping down on costs. We consolidated five offices to one. We’ve reduced our workforce to currently 34 employees while we are enforcing our tax services team. We streamlined our land holdings and we increased our administrative efficiencies to afford safety and environmental standards for our employees and worksites to ensure regulatory compliance and improved meaningful, fulsome and timely disclosures. Our further work on discretionary costs allows us to fund an $825,000 exploration drilling program after-market sales agreement project as far as the plan overall cash spend in 2015 of less than $10 million. We expect their current cash position of approximately $7 million as well as the availability of our after-market stocks sales agreement will fund our working capital and our exploration program in Texas through the third quarter of 2015. I’ll turn this over to Jeff on our quarterly results.
Jeff Vigil: Good morning everyone. On Slide 5, our balance sheet has strengthened as we improved from a negative working capital position a year ago to a positive $6.8 million in the third quarter of 2014. Our current cash stands at approximately $7 million as Chris mentioned our cash together with our after-market sales agreement which has $6.2 million capacity available enables us to fund our business plans. During the third quarter we utilized the after-market sales agreement for net proceeds of approximately 711,000. Our convertible loan facility with our largest shareholder Resource Capital Funds is unchanged at $8 million. RCF has been taken there, interest payments and common stock. The convertible loan has a 10% coupon which matures at the end of 2016 and the conversion rate of $2.60 per share. Net cash in operations worth $2.9 million in the third quarter, 13% lower than a year ago quarter. Operated and mineral property expenses increased slightly from the third quarter of 2013 to $987,000 in the year third quarter of 2014. Third quarter’s general and administrative costs were 2.2 million, which is essentially flat with the third quarter of 2013. However, for the nine months period our mineral property expensed declined 20% to $2.9 million and our general and administrative costs were slightly higher at $7 million compared to first nine months 2013. Our second quarter net loss of $4 million was 22% lower than in the third quarter of 2013, well net loss per share was $0.16 compared to $0.17 respectively. For a reference purposes we’ve included the average spot price for Uranium showing decreases of 13% and 19% for the quarterly nine months year-over-year comparisons. However, this is significant to know that the Uranium’s spot price has been rising in the past three months to near $38 level today which is higher than the $36 average price in the third quarter of 2013. With that I’ll turn it back over to Chris.
Chris Jones: Thanks Jeff. On Slide 7 and moving onto our capital structure our share price on Wednesday closed to the $1.55 which was 27% higher than the 52 week and 62% below the 52 week high. We believe the improvements we have made to our company that I spoke at the outset of our call we’ve put our company in better shape financially, operationally and strategically for the long term. In the near-term these are challenging times and we appreciate the support of our shareholders. We have some brief comments about the Uranium market fundamentals as we see on the Slide 9, electricity demand in world is growing at a compound annual growth rate of 3% from 2015 to 2030. As indicated by the red line on the chart this likely portion of the chart shows the expansion of nuclear reactors in Asia driven by China and India, these statistics are from UFC. Turning to Slide 8, Uranium market fundamentals remains strong as Jeff mentioned Uranium price has improved and fact it is about the only commodity that has shown a price increase recently. Uranium funded to be in cautious and looking for the long term price show same type of strands before they will talk about Uranium recovery. The Japanese restart of the first two nuclear reactors in early 2015 will be an important first step for Japan to resume as a nuclear power generator. In 2010, Japan was ranked third in the world after the United States and the France and a number of operating nuclear reactors it’ll be some time before the climbs back into the top 10 in a world with a gradual restart of some of the tidal reactors. Let’s look at our creative and strategic land exchange on Slide 10. It was a major milestone for our company to complete a land exchange agreement or by we will require perspective higher sort of projects located near processing plants in South Texas. We have optimized our pipeline of projects by enhancing our midterm past production while swapping non-core properties as shown in the blue sections on this map. We will retain ownership of the contiguous red blocks on the map for our Roca Honda project which has in place mineralized material of 810,000 short tons at an average Uranium grade of 0.27%. We are updating the three source estimate with a nationalized 43101 compliant technical import we issued later this month. We have rescheduled the technical report for the Churchrock project in Mexico in order to fast-track resource development on the At Rosita project in Texas. On Slide 7, we have agreed to exchange our conventional mining and long term assets in Mexico for the potential ISR and mid-term At Rosita project as well as four other projects in Texas. As shown in the map we all have expanded our prospects in several uranium mineral belts covering over 8,000 acres and all are located within 75 miles of either of our two processes. Based on our ongoing analysis with historical information from Chevron’s work in the 1980s for the At Rosita project, we have developed the target area for drilling in the southern portion of the property. This target area extends approximately 1.5 miles along the east west formation roll front which is one of the most important uranium host in the south Texas uranium province. We expect to drill 27,000 feet and conduct two physical works on the project in 2015. We are planning for drilling to begin in the first quarter of 2015. On slide 13, for the remainder of 2014 we expect to generate a technical report compliance with 43101 for our Roca Honda project later this month. We also expect to continue to further reduce our cash spent which is running under a million a month. This has our company well positioned to spend less than $10 million for full year 2015. On slide 14 now we are hopeful for rise in the uranium business. In the meantime, we do what we can do as to control our cost. We will (inaudible) with a watchful eye and near term financial in business priorities even as we plan for the long term. We believe we have the financial flexibility over the near-term to realize further cost savings and adjust our business priorities as needed. Operator we are ready for questions.
Operator: [Operator instructions] The first question is from Bryan Bergin of Cowen & Co. please go ahead.
Bryan Bergin – Cowen & Company: Good morning, nice job on costs.
Chris Jones: Thank you.
Jeff Vigil: Thank you Bryan.
Bryan Bergin – Cowen & Company: Do you guys see additional opportunities in south Texas that are similar to – so that may potentially meet in the near term production?
Chris Jones: Bryan thanks for the question and thanks for the recognition on cost. There is more property in south Texas that has potential for us to examine. We wouldn't comment on how far along we are in any other examinations of other properties so at this time.
Bryan Bergin – Cowen & Company: Okay. And then just one another one with the recent move in the uranium pricing and improvement there, have you noted any increase in conversations with customers and can you just kind of talk about what you may be seeing in the contract environment?
Chris Jones: Bryan as you know all of our uranium in South Texas is currently under contract with combination of (inaudible) so at this point in time we are not seeing any new conversations with regard to contract of uranium sales, but UXC would show that there has been additional contracted activity in the later part of the 2014. And a little bit of increased activity in the markets and on a global basis Bryan I think we are seeing smart activity.
Bryan Bergin – Cowen & Company: All right great. Thank you very much.
Chris Jones: Thank you.
Operator: The next question is from Joseph Reagor of ROTH Capital Partners. Please go ahead.
Joseph Reagor – ROTH Capital Partners: Good morning guys and good work on quarter with the cost as well. Just couple of big picture questions, it looks like you are funding for about a year, ahead of you between cash and the balance sheet and the availability on the ATM. Given the focus towards Texas, would you potentially look to maybe sell some of the other assets in order to fund the company forward rather than potentially looking at equity 12 months from now?
Chris Jones: Joe, thanks once again for the recognition on cost. We appreciate that. With regard to how we would start positioning any properties we might put for sale, that's a little bit of complicated question to answer. On the one hand this may well be the bottom of the uranium market in terms of properties so it's an opportunity time to realize full return on the properties you do have but on the other hand, when we execute a land trade like we did like for like we don't – we see those as traffic opportunities for us to expand our resource base and brings pounds forward at very low cost to the organization. I hope that answers your question Joe.
Joseph Reagor – ROTH Capital Partners: Okay. Fair enough. And looking at the South Texas assets, if we were to get a strong rebound in uranium over the next 12 months could you guys push the time frame forward if you had availability of capital. I know you guys have been talking three to five years but could that have been made to be two to four years instead?
Chris Jones: Absolutely. We can be ready to produce in south Texas on nine months notice provided we see two things; up price, spot price in little 40s and a trend to support that price. So we tend to think of that in terms of three to five years more than anything else is because we are operators on nature and we wish to be conservative in our outlook for the company just so we are making promises we can keep.
Joseph Reagor – ROTH Capital Partners: Okay and in the event you made the decision to go – to move into production with that nine month window, what do you think the incremental cost to do so would be?
Chris Jones: In order to get our well fields in south Texas is they are currently divide and for instance our state of plant ore Kingsville plant in order to up to operations. We would be looking at $6 million to $7 million expenditure over those nine months up and running. That includes well fields development on our newer well fields.
Joseph Reagor – ROTH Capital Partners: Okay. And then just kind of one industry comment, do you guys have any thoughts on kind of what seems like a under publicized technically tomorrow in Japan on the other first reactor restart the minimal news coverage that's out there is kind of suggest that it's almost a slam dunk but it's going to go through and then essentially there is no regulatory hurdles left, it's just the matter of nobody stepping in and stopping them before they get to the finish line?
Chris Jones: Yes, so two comments, certainly nothing in politics does the slam dunk we probably demonstrated that here in the U.S. last week for this current rate. With regard to Japan, they have got a very deliberate approach to getting their nuclear plant restarted. The municipal votes have been positive for one and two and this word at the prefecture level on and for those of you there little less where we’ve Japanese politics prefecture is more like a state of a county type area. If there is a positive outcome on the vote tomorrow and I would say it's not assured but we are confident that it then goes back to the nuclear regulatory authority in Japan to authorize their restart in the process to do so. And that's why we believe frankly that Sunday one and two are positioned for restart in the first quarter of 2015.
Joseph Reagor – ROTH Capital Partners: Okay. Thanks for the additional commentary on that guys.
Chris Jones: Thanks Joe.
Operator: [Operator Instructions] The next question is from Bill Smith of William Smith and Co. please go ahead.
Bill Smith – William Smith & Co.: Thank you. Good job Chris and team on your overall progress. On the 825,000 explorations the program how far does that take you into that exploration process that 825,000?
Chris Jones: Those two, thanks Bill for the recognition first of all and glad to have you on the call. There is two properties that we intend to drill on first ranch one of the northern properties need about six holes to define what we believe to be where that ore body is located and it's not going to define a resource on that property, but it will help direct further exploration. On the (inaudible) the far more intensive plan, that is involved it's not quite green field exploration in the classic sense, we have adjacent properties that have some information on them as well as current information on -- indicate broadly where those holes front go. This would be more of a per-definition type resource in field we are going to be defined for later.
Bill Smith – William Smith & Co.: So total of six holes then on the bottle of ranch and then one in ultimatum.
Chris Jones: Three of four dozen on ultimatum.
Bill Smith – William Smith & Co.: Okay. And but this 825 will get you through all of that.
Chris Jones: Yes sir, it sure will.
Bill Smith – William Smith & Co.: Okay. And then as you think about uranium prices if you look at a year now and 2015 or in the 2016 how do you think about the price? What would you think could be year from now or two years from now?
Chris Jones: We tend to use the conscious forecast in our thinking and I believe the slide is on our appendix and the slide deck. The long term price in that 2017 time frame looks like its $65 a pound. I think if you kind of – if you loop most of the pundits together and treat the estimate that way, and a gradual return of pricing over the course of late 15 and 16 to get there. That would be our general sense of the price. I think the really important question for URI to answer and address is to ensure that we doing those things we need to do properly prepare ourselves for that price rise. It happens faster, and we see that trend to support it. We are positioned to start earlier. But in the meantime, that three to five year time frame which is where we see pricing certainly in the profitable room for this company. We have some work to do to make sure that we can service that pricing and this land trade was certainly big part of that.
Bill Smith – William Smith & Co.: And at $43 are you profitable?
Chris Jones: At a spot price of $43 remember that our contracted price is something above that. It's a split between long term and short term pricing and discount to that. So the calculation would show that spot price of $43 will perhaps quite about of $44, $45 dollar price assuming $10 premium to long term yes we have the 10% margin we need to get started.
Bill Smith – William Smith & Co.: Okay. Great. Thank a lot.
Chris Jones: Thanks Bill.
Operator: The next question is from Bill Relyea of Midtown Partners, please go ahead.
Bill Relyea – Midtown Partners & Co., LLC: Thank you. Could you talk a little about ISR extraction in the U.S., is there a lot of potential for the people who are sort of dormant to come on and also see the low price people like expand perhaps increasing their production further?
Chris Jones: Thanks Bill. On a global basis, CASS is probably something like one third of the production and we believe there is some rooms in CASS extend for them to increase production over time. Here in the United States folks up in (inaudible) in particular has some room to grow from couple of million pounds to something in access of maybe five or six and in Texas there is really only three possible players and we look upon ourselves as the premium player amongst the three. So, with regard to turning on production, we would think up on it as really preceding at pace with price and it's the higher cost producers so the guys that are in conventional mining in the $55 plus or I think those are the guys that are going to have trouble coming on line as prices comes up.
Bill Relyea – Midtown Partners & Co., LLC: Okay. Good. Thank you. And one question about sanctions on Russia, is there any sense that that will restrict supply a bit?
Chris Jones: Little bit about sanctions I think probably the position on them is on propel here. Yes it would likely decrease the supply of uranium potentially if they were enacted and followed. We kind of take little bit broader look at the market and political pressures come and go but proper cost performance is what your staying power really made up of and that's why we believe that it with temporary political wrinkles in the marketplace or production interruption at a major producer those tend to be a femoral driving our cost performance down into that to make sure that we can produce some low 40s is really what we are all about.
Bill Relyea – Midtown Partners & Co., LLC: Okay. Good. Thank you.
Chris Jones: Thanks Bill.
Operator: There are no more questions at this time. I will now hand the call back to Mr. Jones for closing remarks.
Chris Jones: Thanks so much and thank you all for your questions. We enjoy the challenges. Once again ladies and gentlemen thank you for allowing us to provide you with an update on uranium resources. Have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.